Operator: At this time, I would like to welcome everyone to Capitala Finance Corporation's Conference Call for the quarter ended December 31, 2014. All participants are in a listen-only mode to reduce background noise. A question-and-answer session will follow the company's formal remarks. Today's call is being recorded and a replay will be available approximately three hours after the conclusion of the call on the company's Web site at www.capitalgroup.com under the Investor Relations section. The host for today's call are Capitala Finance Corporation's Chairman and Chief Executive Officer, Joe Alala; Chief Operating Officer, Treasurer, and Secretary, Jack McGlinn; and Chief Financial Officer, Steve Arnall. Capitala Financial Corporation issued a press release on March 4, 2015, with details of the company's quarterly financial and operating results. A copy of the press release is available on the company's Web site. Please note that this call contains forward-looking statements that provide information other than historical information, including statements regarding the company's goals, beliefs, strategies, future operating results and cash flows. Although the company believes these statements are reasonable, actual results could differ materially from those projected in the forward-looking statements. These statements are based on various underlying assumptions, and are subject to numerous uncertainties and risks, including those disclosed under the Section titled Risk Factors and Forward-Looking Statements in the company's annual report on Form 10-K. Capitala undertakes no obligation to update or revise any forward-looking statements. At this time, I would like to turn the meeting over to Joe Alala. Sir, you have the floor.
Joe Alala: Thank you, operator. Good morning, everyone. Thank you for joining us to -- again, just to recap our fourth quarter activity. We had growth originations of 67 million. We had net originations of 51.6 million. Our net investment income was $0.39 per share. We did have capital gains at $0.17 per share. So we did cover our distribution with both NII and realized gains. Again reminder, our goal is to be able to cover our distributions, our core distributions through NII, which we forecast to be able to do that in the foreseeable future. The weighted yield on our debt portfolio is 12.5%, and we break that up into both the lower middle market and the traditional middle market. Our lower middle market yield was 13.3%, with a mix of 45% senior secured and 55% subordinated debt with the great majority of that second-lien debt. And then our traditional middle market activity, the yield was 10.3% [ph], with 23% of that being senior secured paper and 77% of that being subordinated debt. The 12.5% is down slightly from prior quarter, which was 12.8%. But two things we continue to point out when we deliver these statistics is our average funded debt to EBITDA at the portfolio company level has still remained right around four times, which has been consistent from IPO through the last fourth quarter. And one thing that has grown over that time, even though we've kept, the yield has come down slightly, the mix is more senior, and the funded debts more or less the same, the EBITDA at IPO was $8 million on average. At the end of the fourth quarter, our average EBITDA was $31 million at the portfolio company level. We also have been successful at rotating out of some of these equity positions. Our equity portfolio is down to 23.2% based on a fair value at the end of the fourth quarter. That would not include Boot Barn, which we'll talk about in a second; that we monetized in a subsequent activity. The net asset value of approximately $241 million, 18.56 per share, we paid monthly distributions totaling $0.47 per share for the quarter. For the year, we ended up adding five new investment professionals to take our team to 25 total, which is a very sizable team for assets of our size. We also in the fourth quarter closed our senior secured credit facility, a $150 million accordion-up facility with $50 million in the fourth quarter. At the end of the quarter and continuing today, we do have a strong robust pipeline of both lower middle market and traditional middle market activity, and we continue to focus on covering our core distributions through core NII. Subsequent activity that's happened since the end of the fourth quarter, we did monetize 30% of our position in Boot Barn. We sold basically $4 million, which translated into $3.3 million gain. The return on that investment at that portion that we have monetized is a 78% IRR, and it represents a 6.1x cash-on-cash multiple. The rest of the shares are in the lock-up, and those expired during the second quarter. And we would be able to monetize more at that time. With the realized gains of both Boot Barn and Chef'n, we declared a special dividend for the remainder of the year of $0.50 per share. Those will be payable monthly, beginning in the next pay period, and this represents approximately a 32% premium to our core dividend. We also increased the revolver capacity at the end of the fourth quarter to $80 million, so we increased it from 50 to 80. And we also, the Board adopted a $12 million share buyback plan. So we've had a lot of great activity subsequent to the end of the fourth quarter. And at this point I would like to turn the meeting over to Steve Arnall for some additional comments on our operating and financial performance. Steve?
Steve Arnall: Thanks, Joe. Good morning, everyone. As previously mentioned, on March 4, we filed a press release with our fourth quarter and full year 2014 earnings. In addition, we also posted a fourth quarter 2014 investor update through our Web site, provided additional details about the company, the investment portfolio, and other financial related trends. We hope you find that helpful. I'd like to take a few minutes to highlight a few items within our earnings release which again can be found on the investor relations section of our Web site. During the fourth quarter, 2014, total investment income was $13.5 million, a $1.4 million increase over the same period last year. Total interest and fee income was $4.3 million higher in the fourth quarter of 2014, compared to 2013. That was partially offset by $3.1 million less in dividend income. Total expenses for the fourth quarter of 2014 were $8.4 million, compared to $6 million in the same period last year. The increase of $2.4 million is attributable to, one, an increase in the interest in financing fees of $2.6 million; two, an increase of $800,000 in management fees net of the waiver. Three, an increase of $500,000 related to administration and other operating expenses; and four, a decrease of $1.5 million related to incentive fee not being earned in the fourth quarter 2014. Net investment income totaled $5.1 million or $0.39 per share for the fourth quarter of 2014, compared to $6.1 million or $0.47 per share for the same period last year. The decrease in net investment income relates primarily to a $2.4 million increased operating expenses, as previously discussed, partially offset by a $1.4 million increase in total investment income. Management remains focused on covering distributions with core investment income, and is confident that the distribution rate is sustainable. Recent equity exits and subsequent rotation in the debt investments, coupled with continued investment activity in the lower and traditional middle market will position us to accomplish our objective. Net realized gains were $2.2 million or $0.17 per share for the fourth quarter of 2014 compared to a net loss of 48,000 for the same period last year. During the quarter, we realized gains related to Chef'n Corporation, 2.7 million; and Naples Lumbar and Supply Company, 1.4 million, was partially offset by 1.9 million loss from the exit of the equity investment in Impresa Aerospace Holding. The net change in unrealized depreciation was a decline 18.5 million or $1.42 per share for the fourth quarter 2014, compared to an increase of $0.7 million or $0.06 per share for the same period last year. The depreciation during the fourth quarter of 2014 was related to declines in the fair value of energy-related investment coupled with general declines of EBITDA levels for several lower middle market portfolio companies. Jack will discuss this further during the portfolio update section of this call. Our net decrease in net assets resulting from operations during the fourth quarter 2014 totaled a 11.2 million or $0.86 per share, down from an increase of 6.8 million or $0.52 per share last year. Total net assets of $240.8 million at December 31, 2014, equates to $18.56 per share, compared to $19.89 at the end of September, and $20.71 at December 31, 2013. From a liquidity standpoint, we have cash and cash equivalents of $55.1 million at December 31, 2014, compared to $101.6 million at the end of last year. SBA debentures outstanding at December 31, 2014, totaled $192.2 million with an annual weighted average interest rate of 3.51%. In addition, the company has $113.4 million of notes outstanding, bearing a fixed interest rate of 7.125%. Lastly, the company has $50 million available under its senior secured revolving credit facility. The credit facility is priced at LIBOR plus 300 basis points and matures in October 2018. It should be noted that the availability under this credit agreement increased 80 million as previously disclosed on January 8 of this year. At this point, I would like to turn the call over to Jack for a few comments on our investment portfolio and trends we're seeing in the overall investing market.
Jack McGlinn: Thanks, Steve. During the quarter, we originated $67 million of new investments, and received repayments of 15.4 million from net deployments of 51.6 million. For further clarity, Capitala will provide investment info going forward by lower middle market deals. Company is below 30 million of EBITDA. In middle market activity, company is greater than 30 million of EBITDA. Please see the break out in the earnings announcement for further details. During the fourth quarter, we originated one new lower middle market subordinated loan, totaling 20 million at a 12.5% cash rate, while also completing five add-on investments for 3.7 million. The weighted average interest rate for the new investments in the fourth quarter was 11.9%. We also originated 43.3 million in new middle market investments; 18 million of these new investments were senior secured loans, which help support the borrowing base for our new senior secured credit facility. Weighted average yield on the new middle market senior secured loans and second-lien loans was 7.6 and 11.3% respectively. The overall debt portfolio yield is 12.5% versus 12.8% of the end of the third quarter, and 13.7% at the end of 2013. At the same time, overall leverage at the portfolio level stayed flat at around 4X. While the deal market remains competitive, the majority of the decrease in our yield is related to moving up the balance sheet to more senior securities and/or increased investment in larger middle market companies. We feel this is a prudent tradeoff as we move further into the cycle. As Steve mentioned, unrealized depreciation declined by 18.4 million for the quarter. Approximately a third of that decline was related to our energy investments. With the recent declines in the oil prices, we've been very closely involved with our investments in the energy space. At year end, Capitala had five investments within the energy sector, representing approximately 12.3% of the total investment portfolio at fair market value. The year end fair values of our energy investments were approximately 89.5% of cost as compared with 96.9% of cost at the end of the third quarter. At year end, all our energy investments were current on interest payments, and we continue to have frequent dialog with our sponsors, management teams, and outside consultants regarding situation. Most other declines in the portfolio relate to the increase in yield spreads and EBITDA decreases in a few lower middle market companies where we have a large ownership stake. In regards to non-accruals, we have one $3.4 million cost basis debt investment on non-accrual status. And this investment has a fair market value we written down as zero. In addition, we have one portfolio debt investment on PIK non-accrual. This investment has a cost basis of $13.1 million and a fair market value of $10.6 million. Our internal weighted average risk rating remained relatively flat at 1.83 versus 1.80 at the end of the third quarter. As of the end of the fourth quarter, the Capitala portfolio consists of 52 companies with a fair market value of $408.3 million, and a cost basis of $441.2 million. Senior debt investments represent 30.5% of the portfolio. Senior subordinate debt, 46.3%; and equity warrant value of 23.2%, down from almost 36% at IPO. On a cost basis, equity investments comprised just 14.2% of portfolio. As Joe mentioned, we are very pleased with the ongoing efforts to monetize a good portion of our equity holdings, and rotate those proceeds into interest-bearing debt investments. Subsequent events involving the portfolio include $35 million invested in two new lower middle market investments yielding that combined 13.1% weighted rate and $2.6 million investments in add-on debt fundings. There is also a $12 million repayment on the lower middle market loan at 12% rate. We are pleased to announce that through a secondary offering, we are able to monetize about a third of our Boot Barn Holding generating a $3.3 million realized gain on a $4 million payment. Capitala has sold 179,000 shares and continues to hold 420,000 shares that are subject to a lock-up agreement that expires during the second quarter of 2015. Briefly in regards to market conditions, while it continues to be a competitive market, we are finding much more deal activity now versus the first quarter 2014. We continue to see a robust pipeline of directly originated deals from our proprietary multi-office origination platform. And we believe that we have seen some stabilization in rates. With that, I will turn it back over to Joe.
Joe Alala: Thanks, Jack. Thanks, Steve. And now, I'll ask the operator to turn it over to Q&A.
Operator: Sure. [Operator Instructions] Our first question comes from the line of Terry Ma from Barclays. Your line is open.
Terry Ma: Hey, guys. Can you just maybe talk about the overall EBITDA and revenue growth trends we're seeing in portfolio, given a couple of your lower middle market companies are seeing lower level EBITDA levels?
Joe Alala: Yes, I would say that it's kind of hard to classify [ph] over 50 companies that's really mixed. We have -- it's kind of a normal mix, some are outperforming, some are underperforming; obviously the energy investments are re-adjusting their forecast, and they are also re-adjusting their cost structures too. Otherwise it's been, I'd say, relatively stable. I think the middle of the pack has been flat. We don't see a lot of revenue or EBITDA growth there, but steady performance.
Terry Ma: Okay. And can you maybe just give us some color on how you are thinking about monetizing the rest of Boot Barn after the lock-up?
Joe Alala: Yes. The lock-up expires second quarter, but as we continue to rotate out these equity positions, we think a lot of that activity, what happen between now and when the lock-up expires with that time we'll revisit, but the overall strategy of rotating out these equity positions is happening, it's continuing to happening, and we think enough of that activity will happen before the lock out expires that we'll have to revisit at that time.
Terry Ma: Okay, got it. And can you maybe just give us some color on the thinking for paying the additional dividend of $0.50 over the rest of this year, as opposed to holding on to some of it?
Joe Alala: Well, I think -- and Steve will add his comments here, but I think our process of rotating out of these equity investments is going to continue to happen at the pace that we're forecasting. And our forecast is that will happen; we'll get this closer to 10% probably in the fairly near-future. And with that, we'll have more decisions. We can either reinvest into higher yielding platform generated deals, or we could pay future special distributions, we will revisit at the time, but we think a lot of activity will occur over the next -- this quarter or next quarter to revisit those decisions with our Board.
Terry Ma: Okay, got it. That's it for me, thanks.
Operator: Thank you. Our next question is from the line of Mickey Schleien from Ladenburg. Your line is open.
Mickey Schleien: Yes, good morning, gentlemen.
Joe Alala: Good morning.
Mickey Schleien: I wanted to ask you about the energy investments. We're generally hearing that a lot of oil production and consumption is hedged for most of this year, but those hedges will roll-off next year on average. I'd like to understand how you think that will affect your investments in that sector, and how the borrowers are preparing themselves for that?
Jack McGlinn: Yes, Mickey this is Jack. We've honestly been spending a lot of time talking to our companies here. We have five companies that are impacted by the prices, some more than others. So there's some more focused in natural gas, and they're not as impacted by the oil prices and what's going on there. We do have a large investment that is impacted. The management team has been through the cycle before. They've lived through the 2008-2009 downturn, they've been aggressively restructuring their cost base, actively involved with their customers, and working through. So, some of it is just getting the right scale to work through this. Actually, sometimes during the downturns, as their working capital needs reduce their -- and the cash flow increases. So we're fortunate to have experienced operators in this space, and know how to manage through this, and we're working with them in that regard. Obviously, I don't think anybody has been able to really gauge how long this is going to last, but there seems to be some stabilization in rates. And again, a lot of our companies operate in the lower cost fields. So we feel pretty good based on the circumstances where those companies are. We think we've -- and reduced the fair values to where they should be. And we're again, we'll continue to monitor, but we think they're on top of things.
Mickey Schleien: All right, a different question; in your prepared remarks you talked about going higher up in the capital stack as we continue in the credit cycle. I'd like you -- perhaps, can you remind us of the almost 100 portfolio companies you've invested in to-date, how many of those were placed on non-accrual at some point? And what's been the average recovery rate on those?
Jack McGlinn: All right, you stumped me on that one.
Mickey Schleien: Or we can do that offline if you like?
Jack McGlinn: No, I mean I can sit down and look back through. Before we went public, we didn't have the non-accrual monitor on things. When I work with our operations team, we don't talk in terms of non-accruals, we talk in terms of which companies need more support than others. So, to go back through the all-in 100 investments, I'd have to spend some time on that.
Mickey Schleien: Right, I mean my question is really trying to get an idea of how you manage through previous downturns given your comments that we seem to be well into the credit cycle, but we can talk more about that later. Target leverage, it's climbed. Your leverage is now with SBA debentures almost 1.3, it's pretty high in the BDC space. It's obviously well under the limit, if you exclude SBA debentures, but how are you thinking about target leverage on a go-forward basis?
Steve Arnall: Yes, this is Steve. I think our regulatory leverage, how we're looking at it, we're at 24/7. We've got the ability with our undrawn credit facility to draw maybe up to $70 million to $100 million and stay within the one-to-one ratio. We probably will get nowhere near that. We've said before, our target may be 0.7 as a topping out point until we see the equity percentage decline, and at that point maybe we'll go above that. But we're very sensitive to the leverage and understand that we're on the high-end of that relative to our peers, but we still got capacity and we'll be very thoughtful as we proceed forward.
Mickey Schleien: So, Steve, 0.7 would take you to about 1.5 total debt to equity, correct?
Steve Arnall: That's about right, yes.
Mickey Schleien: Okay, and as you monetize the equity investments, on which you've done very well, is there a possibility you'll use some of that to reduce leverage?
Steve Arnall: Possibly, but that's not -- we haven't made any decisions in that regard right now.
Mickey Schleien: Okay.
Joe Alala: And Mickey this is Joe. A reminder, most of our leverage is -- the SBIC leverage is six-and-a-half year life, really can't repay it other than scheduled repayments. Then we have the bonds at $113 million. So most of that debt is fixed, and doesn't have the option to really repay in the foreseeable future.
Mickey Schleien: I understand. In terms of the new credit facility, how much flexibility is there in terms of the assets you can put in there? Is it really geared toward first-lien, can you put second-lien in there, what are the advance rates you can get on those?
Steve Arnall: Yes, the advance rates vary from 50% up to 70%. First-lien obviously gets the highest advance rates, and as you move down the food chain, if you will, the advance rates decline. So it's very flexible. I think the borrowing base used to be 30% first-lien, and/or cash, and then down below from there. So it's very…
Mickey Schleien: Okay. One last question, can you give us a sense of how much your current spillover taxable income is? I saw in the K, the numbers from way back in August. I'm just curious where we stand now.
Steve Arnall: We really don't have any spillover income right now. Our tax year ends August 31, but we're a little weak in that regard. But as we looked at our year end -- tax year end of April 31, we really didn't have any. But that's going to change this year as we start seeing some of these monetizations in these equity positions. That whole dynamic is going to be a lot different. And that will be something that we communicate with you going forward.
Mickey Schleien: Okay, thanks for your time this morning.
Steve Arnall: Thank you.
Operator: Thank you. Our next question comes from the line of Vernon Plack from BB&T Capital Markets. Your line is open.
Vernon Plack: Thanks. And Jack, could you give us a little more color on onsite fuel services. I know that you've marked that down about $2.5 million during the quarter, and you added another $1 million after quarter; and I'm just trying to get some thoughts there in terms of what you're thinking on onsite?
Jack McGlinn: Yes, that one is -- that one sounds like it might be oil and gas related, but it's not, so just wanted to clarify that first. That has been a lot of work. Over the last year, we've had a change in management there, and at the same time had a change in whole IT infrastructure. So those two things have led to a slowdown in the financial performance of the business. It has needed financial, and management support from Capitala over the last year. And that is continuing as we speak. So we have a new management team in place, new systems in place, and we are working very hard to get both revenue and profitability improved there, but it has required some further investment. We have pretty large stake in that business with co-investment partners. We control the Board of Directors, and we are very actively engaged in making decisions to drive that company to better performance. So the very recent trends have been improving. Actually I should mention by part of the financial support we had, one customer -- one significant customer that went bankrupt over the last couple of months, and so part of our funding was basically -- as that came out of the borrowing base for the company, we had to put money in to support that. But that was an isolated incident, and we'll continue to work through it.
Vernon Plack: And do you think you'll be -- knowing what you know today, do you think you'll be putting more money into on-site?
Jack McGlinn: Yes, there's a good possibility of that, not necessarily related to operating performance, but just as far -- it is -- we do buy fuel. So actually the Company does benefit from the lower fuel prices, but they do have -- there are a lot of -- a lot of fuel purchases, and we may have to put some money in to help support just their buying patterns.
Vernon Plack: Okay, and one other company, is it SSCR, that also took a write down of about $2 million? I'm just curious in terms of what's going on there? It looks like you put $2 million in, then fair value didn't change a whole lot, so can you help me out there?
Jack McGlinn: Yes. Somewhat similar, not as many management issues there. But that's the main product that they produce is sunscreen.
Vernon Plack: Okay.
Jack McGlinn: So if you go back two years, two summers ago, it was a horrible year for all the sunscreen producers. So they had a bad year, a bad summer two years ago. Lots of returns from the retail outlets as the summer was not great. The product wasn't used all that much. That trickled in then to last summer, which wasn't all that bad from a buying perspective, but there was a lot of product on the market. So it was heavily discounted, couponed, and again just a lot of product out there. So financially it was not a good year. We've been also very active in that one in cutting costs, trying to work back into a more profitable situation. And similarly, it's taken some funding to get that one restructured and moving in the right direction. And that is obviously another one that we spend a lot of time on.
Vernon Plack: Sure, and one final one, just in terms of the amount of capital that you're willing to put in any investment? I know that during the fourth quarter you made the two around $20 million. Is that what you're thinking in terms of the max, around that range, around $20 million, right now?
Jack McGlinn: No, I think our max should be more in the $25 million range, and with some room to go above that, but…
Vernon Plack: Okay, all right. Thank you very much.
Operator: Thank you. Our next question comes from the line of Christopher Nolan from MLV and Company. Your line is open.
Christopher Nolan: Hi. Could you give a little detail in terms of any plans to use non-qualifying bucket?
Joe Alala: Right now we've got really nothing in there. I think in the future we'll be thoughtful there. Really, I can't announce some of things we're working on right now that might fall into what you're asking. I would just say be patient, look for some releases in the next coming weeks. And we'll cover it that way. I can't cover that right now, Chris, I appreciate…
Christopher Nolan: Understood. Then turning to the energy investments again; is the write-downs really due to a weakening EBITDA or just some more cautious approach in terms of lower energy prices?
Joe Alala: No reduced EBITDA, which obviously comes from the top line. It's going to be reduced revenue. Again, I'm referring to our largest investment in the energy space. They know that revenue is going to be significantly reduced, margins are going to be reduced, and their EBITDA is going to be significantly reduced. And from a debt perspective, they -- and this is from the management they don't think it's going to impact how they service the debt all that much. But their performance is certainly going to be off. And we do have an equity holding in that business. So that certainly decreases our valuation on the equity.
Christopher Nolan: Given you guys tend to invest in some of these companies all along the capital stack and some of the more subordinated pieces are more subject to asset-quality issues, do you anticipate a portion of these investments to be restructured in some way?
Joe Alala: I would think -- there will probably will some restructuring that goes on. Again, for the most part, when we do energy investments, or really any investments in cyclical sectors, I mean we're very conscious of what the balance sheet looks like, and the amount of amortizing senior debt in front of us, and what the balance sheet looks like, and the amount of amortizing senior debt in front of us. So we go into these situations with pretty a well-structured balance sheet that can withstand a cycle maybe not a three-year great depression type or great recession type cycle, but we do make sure that balance sheet can handle it down turns. So -- I don't contemplate any major restructuring with large debt discounts and such, but there will be some covenant changes in things.
Christopher Nolan: Got it, okay. Thanks for taking my questions.
Operator: Thank you. Our next question is from the line of Greg Mason from KBW. Your line is open.
Greg Mason: Great, good morning, guys. Just hitting on some of the last topics, but trying to drill it down a little bit more; on the $16 million of portfolio depreciation net in the quarter, you gave us three buckets: energy related, higher yield spreads and EBITDA declines. Energy is what it is. Yield spreads should just be temporary. Could you help us understand maybe what percentage of that $16 million of depreciation is the actual EBITDA decline that could be more concerning over the long-term?
Joe Alala: Sure, so we've already talked about two of the bigger pieces there in the EBITDA decline and that would be the onsite and SSTR. So that's actually is the bulk of it right there. We have one other quick direction of the company that we own I think roughly 70% of. They had an EBITDA decline, and that's customer-related over a couple of customers and we don't see any cyclical downturn in their market. I think it's just they go through cycles of customer roll off and then they bring in new customers back in. so we think that's more of a temporary decline of EBITDA but when you own 70% of it, it's kind of have a larger impact on our decrease in valuation for the period. But I think those three pieces and that kind of declining EBITDA -- that's just again. So PDI and the direction onsite we have large ownership percentages to any decrease in EBITDA has a pretty large impact on things. SSER we also have a good sized equity position. So that gets impacted. We also had our one non accrued precision manufacturing that's been on and off -- it's been on our watch list -- was been on and off non-accrued and that company is hit some head winds. I think we reported before they had back log issues, they got pushback then it seemed to be straight thing. Then they got push back again and that we have taken that prudently down to a zero fair market value. That was the fourth big piece to that.
Greg Mason: That's great color, I appreciate it. On the traditional versus the lower middle market, you've built up the traditional a bit. With EBITDAs of $95 million in that business, it seems definitely much more of a liquid portfolio versus the real alpha you guys generate in the lower middle market. How big do you want that traditional middle market to become? Or what percentage of your overall portfolio do you want the traditional middle market to be?
Joe Alala: I think we really look at it as percentage right now. we tried to move around to find the best risk to adjust the return. I think what we're seeing now is in lower middle market. We're doing a lot more in non-sponsor deal and senior secured deals are getting some very attractive rates in very low leverage points. Every sponsor activity in the lower middle market we continue to find that that's very competitive, higher EBITDA the gate request from these equity sponsors in very compressed yields that they're offering their potential debt about so we're actually finding more attractive -- we're finding attractive opportunities in both spaces. But we also go around and find where we - the best opportunities that provides the highest risk adjusted returns. What really great about our capital structure is that since we have the fully deployed SBIC leverage or almost fully deployed, we can put those lower middle market credit in the SBIC subsidiaries and then with our new revolver in place we can finance these traditional larger middle market opportunities with that type revolver financing. So we really have a nice sort of balance sheet that can play in both the lower middle market and the traditional middle market space. Right now we're just moving around to try to find the best risk adjusted returns and continue to focus on that leverage at the portfolio level and larger EBITDA our companies that we think is further along in the cycle.
Greg Mason: Got it. You mentioned $35 million of lower middle market deals post quart end. Any traditional middle markets post quarter end?
Joe Alala: Those are all lower middle market deals. Non-sponsors…
Greg Mason: You haven't closed any traditional middle markets here in first quarter.
Joe Alala: Correct.
Greg Mason: Got it. And then one last question, as we look through the schedule of investments, there's, call it eight or nine investments, that look like they have source and then the name of the company or Source Capital is the sponsor. That seems to be a pretty large percentage of your deals with that one private equity sponsor Source capital, so could you just talk about that relationship a bit given there are eight or nine investments with them?
Joe Alala: Yes, I guess what you don't see is that there is a history going back 8 to 10 years of investing with that group. We have some very successful investments with them and we've also had some -- one is that we have to work very closely with to get through operational issues or management issues or performance issues. We have a good history of working with them. There is this range like any other portfolio of investments with the group or we have outperformers and underperformers and then middle of the pack ones. But the good thing is that we have a long-track record of working very closely with them in the decision making process and understanding the relationship of Capitala as a lender and they as the equity provider and relative rights there as well as common objective and really the long-term focus on getting the company where it wanted to be. It's a great question and there's some privacy on their side as well as on the portfolio company side, but we do have a very strong relationship there and we'll continue to have a good relationship with them.
Greg Mason: Okay, great. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Hannah Kim from JMP Securities. Your line is open.
Hannah Kim: Hi, good morning. Thanks for taking my questions. I'm calling in for Chris York this morning. Just wanted to start off talking about sub debt in your portfolio; I see that as a percentage of the total portfolio, sub-debt investments has been trending upwards. I understand that you're looking at deals on the deals-by-deal basis, but just going forward, how should we think about that? Do you have a target allocation amount to your sub-debt investments in the portfolio?
Joe Alala: Yes, this sort of goes back to -- we're trying to find a best risk adjust return and right now we're finding in the lower middle market. We're finding senior debt that's paying us 13%-14% and so we're pursuing those activities. So we're moving around. We do with our revolver in place have to have more in that sort of traditional middle market definition senior loans to really have an optimal revolver advance rate. So we do have to do that. That's reality of our revolver. But I think what we're finding now is we're continuing to do more senior credits. We're getting great pricing but that changes we would probably go more to the traditional mezzanine, but this late in the cycle I think we're really you'll see our trend is much more senior related. But we do think we're further in the cycle and the thing we're constantly doing and continuing to do is lower our equity percentage investments and getting that down. At IPO, again it was 36; it was 23 into the fourth quarter, it's probably under 20 now that we monetize some of Boot Barn and we're still rotating at a several a larger equity positions as we speak.
Hannah Kim: Okay, great. That's great color. My next question is related to Market E and Source Recycling. I see that they have been removed from your non-accrual list this quarter. Marks for Source Recycling went up, but marks for Market E remained relatively flat. I was wondering if you can provide any additional color on these two investments.
Joe Alala: Sure. Market E had been a deal that we were the largest investor in head control provisions in the Board. We've been looking for a buyer for that business. For several quarters, we were able to come to an agreement with a buyer in the first quarter. And the reason it still shows up on our portfolio, but not on non-accrual, the buyer bought the assets of the business. So the entity Market E still exists, and there is a lot of contingent note and an upside also involved in the sale of that. So it's still on the portfolio list, but it has been taken over by a new party that's funding the growth of that business. Again, we had been in that for about seven years or so. And at the stage, where we wanted to invest in kind of a new growth phase that the company was about to take on. So that's what the new buyer is doing, and that's a little bit behind of what the structure of the transaction was and why it is still on our portfolio. That adequate answer?
Hannah Kim: Yes, got it. Thanks, that makes sense. Last question is the new PIK non-accrual Sparus Holding. I was wondering if you can provide some additional color on this one; I see that during the quarter, you probably restructure the deal and added some sub-debt investments?
Joe Alala: That's correct. The company has also gone through some reorganization. They sold off a division and brought in a new CEO to reorganize the business. That reorganization plan has required some more capital. So we funded that. We have also marked down the investment in total. So I think with a decrease in some of the value in our debt, we didn't think it was appropriate to continue recognizing the PIK on that debt investment. So we continue to monitor that investment and work with the new CEO. And it's also been -- we've been in for a long-term, and they also had its ups and downs as a lot of utility services. It's got a good base of operation, and it's just got a little heavy on the cost side and management is working to address that. I think you had mentioned the source recycling; that is a company that also went through a transaction late last year that helps to support the overall operations. So there has been some changes there, but that the performance in a new combined company has been much stronger even though pricing in the recycling industry is still off with the economy, and we don't see any downturn there, but as things improved, the operations there will begin to improve and so we'll get better outlook for that portfolio company.
Hannah Kim: Okay great. Thank you. That is all for me today.
Operator: Thank you. [Operator Instructions] And that is all the questions we have in the queue at this time. So I would like to turn the call back over to the speakers for closing remarks.
Joe Alala: Well, thank you. We want to thank everybody for their time today. We also want to remind everyone we did upload an investor update on our Web site. It goes into a lot of detail on the yield, the security, sort of what we were seeing in lower middle market, traditional middle market. We go into a lot of detail on this presentation. We invite you to look at it, and this is something we will continue to update quarterly going forward. Thank you for your time. And our phones are always open for any future questions or comments. Thank you.
Operator: Ladies and gentlemen, thank you again for your participation in today's conference. This now concludes the program, and you may all disconnect your telephone lines. Everyone have a great day.